Operator: Good afternoon. My name is Krista and I will be your conference operator today. All lines have been placed on mute to prevent any background noise. And all participants are now in a listen-only mode. After the speakers' remarks, there will be a question-and-answer session [Operator Instructions]. At this time, I would like to turn the call over to Stacy Alderson, CN's Assistant Vice President of Investor Relations. Ladies and gentlemen, Ms. Alderson.
Stacy Alderson: Thank you, Krista. Welcome, everyone. Thank you for joining us for CN's fourth quarter financial and operating results conference call. As of note, we have forward-looking statements and non-GAAP definitions for your review on Page 2 of our presentation. These forward-looking statements include estimates, goals and predictions about the future based on our current information and educated assumptions. These come with risks and uncertainties. And with that, there is always a possibility that the outcomes may differ from expectations. That being said, forward-looking statements aren't guarantees and factors like economic conditions, competition, fuel prices and regulatory changes could affect actual results. Now, joining us on the call today are Tracy Robinson, our President and CEO; Derek Taylor, our Chief Field Operations Officer; Pat Whitehead, our Chief Network Operations Officer; Remi Lalland, our Chief Commercial Officer; Pat Whitehead, our Chief Network Operating Officer; Remi Lalonde, our Chief Commercial Officer; and Ghislain Houle, our Chief Financial Officer. It is now my pleasure to turn the call over to CN's President and Chief Executive Officer, Tracy Robinson;
Tracy Robinson: Thanks, everyone, for joining our call. Today, I'll spend a few minutes on 2024 and then turn to our plans for 2025. Now 2024 was clearly not what we expected and certainly not what we planned. We are happy to have it behind us. We experienced a number of one-off challenges that had some outsized impacts on our results, including an unprecedented referral to the Canadian Investor Relations Board by the Canadian government of what was otherwise a normal labor dispute, caused three months of uncertainty and the diversion of container volumes for a longer period of time. And that was followed by a rail shutdown and then strikes at the ports of Prince Rupert, Vancouver and Montreal. Long-story short, we were resourced for more volumes than we handled and we didn't deliver growth to the bottom-line. We're not happy with that. Now there were a number of things that I am pleased with. The team's agility in managing through the year with solid execution was very strong. Our operation recovered from each shock quickly and effectively. Car velocity for the year was solid at almost 210 miles per day despite the challenges and through dwell, an indicator of yard fluidity is on par with 2023 at seven hours. Now this wouldn't have been the case a few years ago, and I'm proud of the discipline of this team and their adherence to our operating model. We also delivered on our CN specific initiatives and grew volumes by more than 1%. We moved record amounts of Canadian grain. We had solid same-store pricing above-rail cost inflation. Our customer service remained top-tier and we had the second-best accident and injury performances in the company's history. So we have a strong foundation. From a financial perspective, we delivered Q4 adjusted EPS of $1.82 and an operating ratio of 62.6%. For the full-year, our adjusted EPS was $7.10 and the OR landed at 62.9%. I'm going to ask the team to give some more color on the quarter's performance in a few minutes. Now turning to 2025, it's a new year, the labor issues are behind us and I feel really good about our setup for this year. I'll start with the good news from the SCB who approved our Iowa Northern transaction. I want to extend a warm welcome to our new colleagues. This transaction extends our network reach into the Iowa Green belt and provides extended single-line access for customers to new markets. Now a side benefit of the deal is that we're bringing on a team with a strong entrepreneurial spirit and that's something that we want to lean into as an organization. We'll start the integration in a few weeks and I expect to realize operational and commercial synergies in the coming months. Now in the operation, we're well into winter and the network has been fluid despite the cold. As we rounded into January, we've had shorter bouts of severe cold, which has allowed us to pick-up velocity. Month-to-date car velocity is nearly 200 miles per day, right in that sweet-spot for winter operations. This railroad continues to run well. Now a tight operation is table sticks for both customer service and margin expansion. And over the past number of quarters, we've taken actions to realign resources, both people and assets and this will flow-through in our results moving forward. And we'll continue to refine the operating plan and resourcing as necessary. We're also continuing to focus on our productivity initiatives, including in engineering and mechanical, will help us mitigate the impact of inflation and support operating leverage. On the labor front, we're in a stable position this year. We reached a tentative agreement with the IBEW this week, and this is the union representing our signals and communications employees, positive progress for both parties. We're also pleased that we reached a four-year agreement with Unifor in December. Unifor represents our employees that work in mechanical, clerical and intermodal functions. With respect to the Teamsters union, which represents our conductors and locomotive engineers, the arbitration process is proceeding as expected and on-track to be wrapped up by the end-of-the second-quarter. Now these unions represent the bulk of our Canadian unionized workforce. We're also progressing well with negotiations in the US and ports on the West Coast and in Montreal are proceeding with their own arbitration process. So we're in good shape on labor stability across the supply-chain in 2025. Now finally, when we think of the broader economy, the most significant driver could be what happens with tariffs initiated by the new US administration. But we all want growth in the North American economy and we want consumers to be strong and we're hopeful that the conditions that will support this will be in-place. Now clearly, we can't predict how this will unfold, but we can control how we respond and how we partner with customers to adjust. And we've considered a full range of options and have a plan for various scenarios. The key for us will be to be nimble and adjust quickly as the situation unfolds. Turning to our 2025 outlook, we've provided an earnings guidance, which accounts for multiple scenarios related to volume, to energy prices and to currency. Significantly, our underlying assumption as it relates to tariffs and potential retaliatory measures is that while there may be some impact, it won't be so significant or prolonged as to cause a recession in Canada or significant inflationary impacts in the US. With this in mind, we expect to deliver 10% to 15% EPS growth for 2025, and we are reaffirming our 2024 to 2026 outlook for compound annual high single-digit EPS growth. While the business environment has evolved from our Investor Day timeframe, the investment thesis we presented has not. We remain in growth mode and we are executing our strategy this year, including year-over-year margin improvement. So we're aiming for growth in volume as well as earnings and margins. Now to give you a sense of the margin improvement quantum, altogether, the 2024 one-offs, including fuel impacted operating ratio by roughly 200 basis points. Remy will give you more details on the volume outlook, which all-in assumes low-to-mid single-digit RTM growth. More than 50% of it is expected to come from CN specific initiatives. About a third is related to the recovery of volumes lost from last year's labor disruption and the remaining assumes a bit of a lift in the economy. We do expect the shape of the volume growth through the year to be more back-end weighted as we lap last year's disruptions. We're guiding for a CapEx program of $3.4 billion for 2025 to ensure a safe and efficient operation as well as to support growth. As Pat will discuss, we're doing the work to improve the efficiency with which we manage our engineering program and we're very focused on locomotive availability and reliability. The year is off to a positive start as we expected. We have the momentum we need to demonstrate the strength of this network and franchise. And Derek, you're up first on the condition of the operation.
Derek Taylor: Thanks, Tracy, and good afternoon, everyone. Turning to Slide 7. From an operating perspective, the fourth quarter was really a story of two halves. During the first-half of the quarter, we had ideal operating conditions in terms of weather. The team handled strong demand very efficiently. We kept pace with customer orders and did not have any backlogs. Unfortunately, we began November with two weeks of port labor disruptions, both on the West Coast affecting Vancouver and Prince Ruper as well as in Eastern Canada at Montreal. This was impactful to our intermodal network due to the staging of trains and balancing of equipment, but the rest of the railway continue to run well. Now during the second-half of the quarter, just as we started to see volumes ramp-up after the labor stoppage, we started a long stretch of really cold-weather across much of the Western region, our busiest. As we have said in the past, we are the rare to the north when compared to our fellow Class 1s and no strangers to cold-weather at CN. Therefore, we activated our winter operating plan, which is our blueprint for how we manage extreme cold. That said, I would just remind you that winter came late the prior year as we had zero days operating under trade restrictions in November and December of 2023. That was compared to 28 days of trade restrictions to close-out those same two months in 2024. When coupled with the mainline disruptions that occurred in the Western region, you can certainly see the impact on our key statistics when we look at the monthly. Car velocity dropped from around 220 to 191 miles per day for the month of December. Through dwell increased from a very strong October at 6.5 hours to 7.8 hours going into the holidays. 32 hour cars also spiked to around 8,500 during the December time period. When the weather finally broke after operating under 14 consecutive days of trade restrictions to essentially end the year, the railroad recovered nicely. We cut our 32 hour count by more than half down to 4,000 cars in early-January, quickly restoring yard fluidity. Through the end of January, car velocity was approaching 200 miles per day with many around 210, which is not bad for winter railroading. Dwell also averaged just over seven hours. And we did all this while doing over 15% more daily GTMs than we did last year. Closing with customer service, we continue to serve our customers extremely well and achieved a slight increase in our local service commitment measure. The West Coast ports had some supply-chain challenges at the end of December with vessel bunching and the port holiday shutdown along with our trade restrictions limiting train length due to the cold-weather. Now, the ports are in good shape. Rupert is fluid and we've got inbound vessels on the way. Vancouver inventories and dwell times have also improved to more normalized levels. I'll end by thanking the entire operating team for their dedication and efforts through 2024. It was a healthy dynamic year with lots of things thrown at this railway, which proved the resiliency of this network and this team. Pat, over to you.
Patrick Whitehead: Thanks, Derek. I want to begin with safety. Our injury and accident ratios for the year were the second-best in our history, which is a significant achievement. That said, we know there's still work to be done. We are not satisfied with how both quarterly measures ended below last year's levels and we are committed to making improvements in the months ahead. Further to Tracy's comments, I want to emphasize that our plan is sacred. We strategically deploy resources to power the network, allowing us to quickly get back on-track and serve our customers with predictability. This is evident in our origin train performance, which came in at 90% for the full-year, 1% better than 2023, even in the face of disruptions. Next, let's turn to crewing. We've remained disciplined in managing headcount, adjusting to the economic and political uncertainties that shape our workforce needs. These adjustments are already underway, ensuring we align with demand in a volatile environment. Where volumes are growing mainly in the West, we continue to hire with furloughed trainees on standby to quickly respond to demand. This approach has enabled us to improve crew cost per GTM by 4% compared to Q3, despite a 3% increase in GTMs. Additionally, our [T&E] (ph) productivity measured by GTM per employee grew by 7% compared to the previous quarter. Having covered our most recent performance, I now want to highlight how we're deploying capital to achieve sustained predictable service and cost performance going-forward through both our maintenance and capacity expansion initiatives. Starting with locomotives, we've made significant progress in our DC to AC modification program. To date, we have converted 160 older DC units to modern AC propulsion units. Just to put it into perspective, two modernized units deliver the pulling power of three of our older DC units across most of our network. This enhances fleet reliability, fuel efficiency and improves availability with fewer failures. Looking ahead, we're also exploring emerging locomotive technologies. Earlier this month, we launched a small pilot in partnership with Knoxville Locomotive Works for a medium horsepower hybrid unit. This will be tested over the next six months in yard and branch line service, allowing us to prepare for future innovations in a cost-effective low-risk manner. We've also partnered with OEMs more broadly on alternative propulsion methods and we are staying close with our peers with the objective to maintain interoperability down the road. Turning to engineering, 2024 saw improvements in how we plan and execute our work. We streamlined the material deliveries and standardized our production gains, reducing our reliance on third-party contractors. These efforts led to a 10% improvement in tie gain productivity compared to the first-half of the year and a 6% improvement year-over-year. On inventory management, we've made substantial strides by reducing both engineering and mechanical inventory quantities by $35 million, we've improved asset utilization and reduced our carrying costs. Lastly, on the capacity front, we've advanced our multi-year capital plan, bringing on key projects in the Chicago and Vancouver corridors. In December, we successfully delivered a new section of double track on the former EJ&E property in Chicago, which will improve fluidity and increased capacity by roughly 20% in the area. Similarly, the [indiscernible] which came online in May, provides about 30% more capacity in the BC South between Kamloops and Vancouver. Later this year, we're looking-forward to completing two additional sections of double track on the Edson sub west of Edmonton, increasing capacity by 25% through this critical link, supporting our growth to the West Coast. With that, I'll pass it on to Remi and he will tell you how he plans to fill-up that capacity.
Remi Lalonde: All right. Thank you, Pat. We're working on it, buddy. [Foreign Language] We marked this quarter with strong volume in grain and refined petroleum, and we kept the momentum with our expanding franchise for frac sand and NGLs in Northeast British Columbia. But as my colleagues indicated, we faced disruptions from extended port labor disruptions and significant operating restrictions with the early onset of Canadian winter. Combined with lower potash shipments against an opportunistic record comp and softer demand for forest products, overall volume and revenue fell by 3%. This also reflects the considerable headwind from fuel and a slight tailwind from FX. Let me hit a few of the Q4 segment highlights before turning to our outlook. Despite the slightly smaller crop, we capped a record year for grain shipments with a strong fourth quarter on both sides of the border, reflecting robust Canadian canola and wheat exports from our draw territory, higher U.S. corn and soybean export and domestic volumes, and crush volumes from a new facility in Iowa. While grain RTMs were 15% higher in Q4, the impact was more than offset by giving back some potash from the 2023 opportunistic gains from the Portland terminal outage. We saw continued growth in refined fuels and NGLs in the P&C business, thanks to projects like the Greater Toronto Area fuel terminal and propane exports through Prince Rupert. But that impact was offset by crude shipments lost to new pipeline capacity and two chemical plant closures. Sand volumes finished flat, which was better than expected and caps an excellent year of growth, surpassing $500 million in revenue. Some of the commodities we serve faced a bit more of a headwind, including soft conditions for lumber and export iron ore and the impact to autos from two CN-served plant closures for retooling earlier in the year and a tough comp against dealer restocking. So I'd say that the quarter would have played out largely as we expected, but for the impact of the unexpected Western port strike which, among other things, hindered our ability to regain intermodal share following the Teamsters work stoppage this summer and the late quarter operational restrictions with the early onset of Canadian winter, which means that we run out of track to catch up. Let me pivot to 2025. While we expect modest North American industrial production growth in 2025, there's considerable uncertainty around the impact of potential tariffs. You will see very close to customers to support them as best we can through this challenging period. We're forecasting RTM growth in the low to mid-single digits range to provide for volume variability and for more than half of it to come from our specific growth initiatives. We expect that the single biggest contributor will be international intermodal as we normalize for 2024 disruptions and fight to regain U.S. mix through western gateways. We aim to capture the full year benefit of key 2024 customer wins and grow our customer base by selling end-to-end supply chain efficiency. We're also very excited about new frac sand terminals in Northeast BC to support the robust exploration and production forecasts for the year. U.S. grain on renewable and crush and the ramp-up of Western Canadian met coal, to name only those. And with the Iowa Northern acquisition, we have incremental opportunities in grain and ethanol. Let me briefly speak to our view by business unit. We expect momentum to build in international intermodal after the first quarter and Chinese Lunar New Year, which we otherwise expect to be slightly up from last year. Similarly, for domestic, we expect the first quarter to be flat to slightly down but to show benefit in H2 from joint line services, icing truck capacity and improving market conditions. For now, we expect lower automotive volumes in Q1 and the year due to lower production forecast amid market uncertainty. We're optimistic around all grades of petroleum and chemicals for the year and for Q1, supported by share gains in projects like propane exports through Prince Rupert and the Greater Toronto Area fuel terminal. In fact, the GTA terminal is performing very well, and we're excited to see excellent progress on its Phase 2, which should receive its first shipments by September. Although we see strong demand for frac sand, we're more cautious on metals with uncertain North American demand and unfavorable iron ore export markets. In all, we're assuming just a slight uptick in metals and minerals in both Q1 and the year. Difficult to see any significant improvement in forest products this year, particularly as lumber continues to struggle with a sluggish market plus the threat of additional tariffs. But we expect to see better panel and OSB demand and an increase in pulp and paper volume after Q1. We're expecting growth in Canadian met coal now operational Quintette line, but the sector will be somewhat tempered by a weaker U.S. exports and utility demand for an overall site uptick. For Canadian grain, we see a stronger Q1 but softer Q2 and Q3 on a tougher comp, even with a slightly larger crop. We will face a Q1 headwind in potash due to a customer's terminal outage against a strong comp, but we should grow thereafter. The U.S. program, on the other hand, should benefit from stronger domestic and export corn demand and new crush projects, particularly in the first half of the year. Let me close by underscoring that we delivered more than 1% RTM growth in 2024 despite a very uneven macro environment and numerous external disruptions. And with these disruptions now in the rearview mirror, the resiliency that Pat and Derek talked about, together with our commitment to efficient and reliable service, clearly resonated with our customers. We delivered record on-time performance to yards, and they rewarded us with our best-yet loyalty scores measured through our comprehensive Net Promoter Survey, all while earning same-store price ahead of rail inflation. That's what it's all about. And with that, I'll pass it over to Ghislain.
Ghislain Houle: [Foreign Language] Turning to Slide 14. Like Derek said, the quarter began with ideal operating conditions, which allowed the team to execute on solid demand. Obviously, volumes and costs were negatively impacted by the West Coast and Montreal ports labor-related outages. As we began working through the backlog following these outages in late November, winter weather came early in Western Canada and lasted for most of the rest of the quarter. Prolonged tier restrictions hampered our ability to clear the backlog at the West Coast terminals. Some of that on-the-ground inventory as well as grain orders carried into the beginning of January. For the quarter, we reported adjusted EPS down 10% versus last year. The operating ratio increased by 330 basis point to 62.6%, and revenues were down 3% year-over-year. Let me provide you more details on some of the operating expense categories in the quarter, which I'll speak to on an exchange-adjusted basis. Labor was 7% higher than last year, mostly on account of general wage increases and higher payroll taxes. We also saw the impact of less capital credits as well as higher short-term unproductive costs year-over-year due to the earlier onset of winter versus 2023. Fuel expense decreased 17% versus the same period last year due to a 15% decrease in price per gallon and a 4% lower gross ton-miles. The net impact of fuel prices was about $0.10 unfavorable to EPS and 80 basis points of the OR in the quarter. Purchased services and materials increased 6% driven by higher material, repairs and maintenance and winter-related costs like snow clearing. Other expenses rose 17% mainly as a result of the annual true-up of our legal claims provision. Turning to our full year results on Slide 15. We delivered an adjusted EPS of 2% lower than last year on a 1% revenue increase. Our operating ratio was 62.9%, up 210 basis point versus last year. On an exchange-adjusted basis, labor rose 8% for the full year on account of general wage increases, higher average head count and higher pension expense. Purchased services and material increased by 2% versus last year mostly due to higher material and repair costs as well as higher incident-related expenses. Full year fuel expense was down 3% mainly on lower fuel prices. I want to remind you that the all-in impact of fuel prices for 2024 was unfavorable, around 100 basis points of the OR and about $0.35 of EPS. We generated close to $3.1 billion of free cash flow for the full year, which is about $800 million lower than last year, mainly due to higher capital expenditures and lower net cash from operating activities. Under our current share repurchase program, which runs from February 1, 2024, through January 31, 2025, we have purchased over 13 million shares for just over $2.3 billion as at the end of December. Moving to Slide 16. Let me provide some visibility to 2025. We believe the economy for the year will slightly be better than last year, assuming approximately 1% growth in North American industrial production. Having said this, we're monitoring the tariff situation closely. Fortunately, there is labor stability for us and our core partners, which will support international intermodal growth, particularly through Western Canadian gateways. With this in mind and along with our CN-specific growth initiatives, we expect volumes in terms of RTMs to be in the range of low to mid-single digits. We maintained much of our manifest train package, and we have room on our current intermodal trains. This gives us opportunities to improve operating leverage as volumes pick up through 2025. We have a strong foreign exchange for the year of around $0.70 and WTI of USD70 to USD80 per barrel. In this environment, we expect to deliver 10% to 15% EPS growth in 2025 versus 2024. We are reaffirming our 2024 to 2026 guidance of high single-digit EPS CAGR. We have intentionally built a level of resiliency for extreme weather and traffic volume volatility into our guidance. Specifically on tariffs in our guidance, we've accounted for a range of scenarios. However, we assume tariffs would not cause a recession. Our effective tax rate is expected to continue to be in the range of 24% to 25%. Our CapEx for 2025 will be around $3.4 billion net of customer contributions. In terms of shareholder distributions, we are pleased to announce that our Board of Directors approved a 5% dividend increase for 2025. This represents the 29th consecutive year of dividend increase since the 1995 IPO. The Board also approved a new share buyback program of up to 20 million shares through a normal course issuer bid from February 4, 2025, to February 3, 2026. We will continue to execute our share buybacks to manage to our 2.5 times adjusted debt to adjusted EBITDA leverage target. In conclusion, let me reiterate a few points. We're well into winter, but the network is very fluid. With labor issues behind us, we expect volume growth to pick up from last year. We have a line of resources and have capacity to accommodate growth at low incremental costs. We are committed to creating long-term value for our shareholders. Let me pass it back to Tracy.
Tracy Robinson: Thank you, Glenn. Krista, we'll go to questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Cherilyn Radbourne with TD Cowen. Please go-ahead.
Cherilyn Radbourne: Thanks very much and good afternoon. With respect to the volume outlook for 2025, thank you for the breakdown provided in the prepared remarks. I was hoping we could drill down a bit more on the one-third that relates to regaining volumes lost due to labor disruption in 2024, which as, Remi, you indicated, would naturally skew towards U.S.-bound international intermodal traffic. To what extent have you seen market share recovery on the Canadian West Coast year-to-date? And what visibility do you have to further recovery as we move through the March, April maritime contracting period?
Remi Lalonde: Thanks for the question, Cherilyn. Part of the challenge that we faced heading into the year was that the path of recovery following the work stoppage in the summer was hindered by the two week port strike in the West in November. And we said at the time that the goal was to regain U.S. mix. And so that set us back a little bit, and we kind of missed the peak a little bit. So what we see ahead of us is that we're off to a good start in January. We are talking to customers to encourage them to come back and to grow. But we think we're going to see most of it after the first quarter after we get through Chinese Lunar New Year, and then we can build from there. I will point out on the normalization that if you look at what we did in the first half of last year, we were doing really, really well. And so that's what we mean by normalizing out for the year. You compare sort of how we did in the second half of the year versus the first, I think when you fill that hole, that's the path that we see going forward to build on.
Stacy Alderson: Thanks, Cherilyn. Next question please.
Operator: Your next question comes from the line of Chris Wetherbee with Wells Fargo. Please go ahead.
Christian Wetherbee: Hey. Thanks. Good afternoon. So Tracy, I think in your prepared remarks, you mentioned there was about 200 basis points or so of kind of discrete headwinds, I think to 2024. So I guess, maybe as we look at 2025 and you think about the guidance that you laid out, can you talk a little bit about what you think you can do from an OR perspective? And I guess maybe if there's any help that you can kind of help us with in terms of shaping that first half, second half or maybe even first quarter. Just want to get a sense of how to -- what sort of comes back quickly to the network from an OR perspective and maybe what you can get from an incremental margin perspective on the growth?
Tracy Robinson: Okay. Chris, thanks. Stacy is going at me across the table. I'm going to try and do this in a way that we're not providing guidance on OR as we go forward. So if you look backwards, as I said, you look back to last year, we've quantified the impact of the one-offs. Now that's including fuel -- the impact of fuel last year on the operating ratio on our margins. So as we look forward this year, we've got a clear path on labor. The railroad has and continues to run very well. We're looking to drive margin improvement. We've got the right conditions in place. The railroad is returning back to the natural operating cadence that we would have had without the -- without labor disruptions. And that's going to restore a level of margin. We have resized the resource base and are focused on driving the growth at a low incremental margin. We have, as you heard Pat say, some productivity efforts in place that will offset some of the inflationary impacts in different parts of the company. And then Remi talked about targeting pricing above our inflation. So the accumulation of those is going to drive year-over-year margin improvement. And since the 200 basis points is out there, you're going to see us recapture that. How far we can get with the rest of it is really going to depend on volume. We get more leverage at high volume levels. We get less leverage at lower volume levels. And so that's the way I'd kind of lay it out for you. I hope that helps.
Christian Wetherbee: It does. Thank you.
Tracy Robinson: Okay. Thanks, Chris. Next question.
Operator: Your next question comes from the line of Fadi Chamoun with BMO Capital Markets. Please go ahead. Fadi, your line is open.
Fadi Chamoun: Yes, thanks you. Good afternoon, everyone. So I wanted to ask about the embedded pricing in the guidance and to what degree it incorporates kind of the higher level of disruption that we've seen in the last several years in terms of fires and other acts of God and kind of disruption because of weather. I think your -- the network is kind of prone more than maybe others to these kind of things. And I wonder to what degree you really look at that, and ultimately, contemplate a pricing scenario that offsets that.
Tracy Robinson: So as we think...
Fadi Chamoun: Ultimately challenge it, yes.
Tracy Robinson: Okay, Fadi. Let me take a first run at that, then I'm going to ask Remi for some comments. So we have made some provisions in our plan for the kinds of things that you've seen happen over the last few years, whether it be fire, whether it be other kind of natural occurrences. The fundamentals as we look forward, would suggest that with these kinds of things are going to happen. So we've embedded it in our plan. When we think about our pricing in general, Remi's mandate is to price to market, and that may be ahead of the rail cost inflation. And so when we -- as we think about the natural disasters that have happened, we find that -- it is impacting our customers' perspective of their ability to continue to operate. It's really not relative to pricing that Remi puts in the marketplace, if I'm understanding your question. But Remi, do you have anything to add to that?
Remi Lalonde: I think just to echo Tracy, we did well in 2024 to price ahead of rail inflation. And that's the mission going forward for this year. Maybe Ghislain, you want to comment on inflation.
Ghislain Houle: Yes. Yes. I mean when you look at inflation, Fadi, when you look at the labor, which is our biggest cost, is about 3%. And I would say that, therefore, when -- we here at CN, our rail inflation is in the 3-ish percent is what we have.
Tracy Robinson: And that will incorporate, of course, any of the costs associated with the fires or the other things, Fadi. We hope that answered your question. We will go to the next one please.
Operator: Your next question comes from the line of Scott Group with Wolfe Research. Please go ahead.
Scott Group: Hey, thanks. Good afternoon, guys. So I want to try to understand sort of maybe the building blocks of the earnings guidance. So if we just take some of like the discrete things like FX and maybe lapping some of the headwinds from last year, maybe pension, like how much is like sort of, for lack of a better word, sort of like in the bag from like an earnings growth standpoint? Like is there any way to quantify that? And then I would assume after last year, last couple of years, maybe you've added in some cushion. But like is there any way to think about how much cushion or assumption about some of the bad things from last year repeating again? I just -- I want to try to get confidence in this earnings guidance after the last couple of years.
Tracy Robinson: So the guidance reflects, as we've outlined, the range in volumes, Scott, as well as the variability that we think we could see in fuel and FX outcomes. So we've built that in. We just -- we built in some provision for the kinds of operating conditions we can find ourselves in over different seasons as well. So as far as cushion, I think it really -- what's really going to drive it up or down at the end of the day is going to be volumes, right, all kinds of things that can impact the volumes. But what we've given you is a view into how we made up our low- to mid-single-digit volume growth expectation, 50% of it is CN-specific. 50%, I guess, Remi, or a little bit more is our CN-specific initiatives. We have about one-third of it, as we said, that's the makeup of the -- from the labor disruptions last year. And then we are assuming at this point in time, a very modest lift in the economy. Now if the fundamentals are there such that we get a stronger economy, stronger consumer sentiment, you could see that be a little bit stronger. But as we built the guidance, those are the factors that we built into it.
Scott Group: Thank you.
Tracy Robinson: Next question.
Operator: Your next question comes from the line of Walter Spracklin with RBC Capital Markets. Please go ahead.
Walter Spracklin: Yes, thanks very much. Operator. Good afternoon, everyone. So Ghislain, this one's for you. Just curious, you've -- with the buyback, you've been a bit variable with it in terms of ramping it up and holding it back. Curious, you indicated that you're going to use the buyback to manage the 2.6 times leverage Is there any avenue -- are you budgeting a certain amount, therefore, that we can plug in, in terms of dollars targeted for your buyback this year? And is there any avenue where you would consider? Because I know a number of your peers are now moving more in the 2.75 range or even higher. Is there any avenue where you would consider using a little bit more of your leverage given the resiliency that the railroads have exhibited here to go with a higher leverage and a higher buyback while still maintaining your current ratings? Any consideration there?
Ghislain Houle: Yes. Thanks, Walter. Listen, the use of the balance sheet is something that we debate, we debate internally, we debate with our Board. I think at this point, we have decided to be prudent. So that's why we're going to continue to manage our balance sheet to the 2.5 times leverage. We think that this is the right place to be. We purposely did not provide a budget. So I think we -- you can do the math yourself and get to a number. And we like buybacks, as you know, Walter, because this is something that we can step it up. We can slow it down. And we will continue to debate the use of the balance sheet. But at this point, I think we're very comfortable with continuing to manage it to 2.5 times.
Walter Spracklin: Thank you, Ghislain.
Ghislain Houle: Thanks.
Tracy Robinson: Thanks, Walter. Next questions.
Operator: Your next question comes from the line of Ken Hoexter with Bank of America. Please go ahead.
Ken Hoexter: Hey, great. Maybe if I could follow up on Scott's question a little earlier. You talked about the driver. Maybe can you talk about the drivers to the top and bottom end of the outlook was just laying through in there, some tariff comments? Is that tariff-related some of the ups and downs? Is it -- Tracy, you mentioned volumes? Just trying to decipher, what are the drivers there? And then thoughts on first quarter comp, maybe just given all the comments on weather that we heard today, is -- does that make first quarter maybe a bit more aggressive than normal seasonality? Do you expect normal seasonality given what is traditionally a tough quarter? I mean, just how we should think about maybe some of the near-term stuff? And then just what's the advantage of throwing in the economic growth there at this point, just given what we went through last year? What was -- Tracy, maybe just your thoughts on why you felt you wanted to add that in as opposed to maybe being more conservative.
Tracy Robinson: Thanks, Ken. So let me just start with the last one, the economic growth. We are assuming a very modest economic growth. Most of the growth that we are projecting comes from the recovery from last year's labor. It comes from CN-specific initiatives. And so there's an upside if there is economic growth, but we're not assuming that at this point in our guidance. And then what's going to drive the guidance to the top end of the line is generally going to be volumes. And the tariffs are relevant, as Ghis said, primarily in that it will drive volumes. And though -- that's the way that what we're thinking about it. Ghis, do you have any comments on that?
Ghislain Houle: Yes. And as I said, Ken, in our remarks, I think that we -- our guidance is -- assumes a different range of scenarios, including various scenarios on tariffs, but as we said, does not assume that Canada would go in a recession. I think, to help you out a little bit on -- as we're assuming an FX of $0.70, which is the spot rate as we have it. I think Scott had a question on pension. Pension, if you look at this year, was -- in 2024, was a headwind of about $30 million. Pension this year, in 2025, will be a tailwind of about $50 million, mostly all below the line. And then as Tracy said, a lot of it will be related to volumes.
Ken Hoexter: Great. Appreciate the color.
Tracy Robinson: Thanks, Ken. Next question.
Operator: Your next question comes from the line of Steve Hansen with Raymond James. Please go ahead.
Steven Hansen: Yes, good afternoon, guys. Question on the labor picture for you today. I think you described some of the actions you've been taking, but just trying to get a sense for where you're at from the context of earlier quarters referencing some imbalances that you had in the system in the sense of too many people in the East, not enough in the West. It sounds like you're still hiring. How far along are you in that process? Are you scaling back in all verticals right now? Or maybe just a broader sense for that late picture today and how much more work you need to have to do.
Derek Taylor: Yes. No, Steve. I would say is right now, we have 800 people furloughed across the network. That's mostly T&E folks, but there is some mechanic folks in it that as teams work hard on from an efficiency point of view. We're watching that hiring very carefully. And we took very decisive action last fall when we saw the volumes not coming where they needed to be when we got that intelligence with it. And then I'll maybe let Pat talk about the East to West movement of people.
Patrick Whitehead: Yes. Thanks, Derek. So I would say that we continue to have the furloughed employees to draw from. But as I talk about the West particularly, we will continue to hire as needed to meet the growth in the West. We do have a smaller group of furloughed employees in the West to draw from if we see ourselves in a deficit for people. And we do have the ability to move folks around within our Western region. So we have -- we'll continue to hire towards the needs and recall as we see needed, but we feel like we're positioned well to take all the growth in the West.
Tracy Robinson: Okay, thank you. Next questions.
Operator: Your next question comes from the line of David Vernon with Bernstein. Please go ahead.
David Vernon: Hey, good afternoon, guys. So Remi, I wanted to maybe dig into a couple of the CN-specific growth initiatives to try to see if we can bracket some numbers on two specific sets of projects. As you're thinking about the nat gas liquids opportunity off the West Coast, there's been a lot of investment there. Can you help us refresh our thinking on what kind of incremental volume should look like. And same question on the Jansen potash moment. I don't think there's anything in the guide for 2025-2026, but I think it's a start-up in the three year windows. So if you kind of help us bracket what kind of incremental volume we're talking about there, that would be helpful.
Remi Lalonde: Yes. Thanks for the question. For nat gas, a big chunk of the growth that will come -- obviously, it's incremental. The demand for sand is very strong. We saw a late pickup in the fourth quarter that helped us to do a little bit better than we expected. First quarter also looks strong. The drillers are building terminals. So they're excited about the E&P programs that have for the year. The big lift for exports through Rupert is going to come when the AltaGas Vopak project comes to market. So the FID, that last year. So that's not a 2025 item, but it will be later into 2026. So what we expect for growth in nat gas for this year is going to be incremental, and the big lift will come a little bit later. As far as the Jansen potash mine, construction continues. I was actually in Saskatoon a couple of weeks ago. Construction continues, but we're still waiting for details and announcements on that. That doesn't start until I believe it's Q3 of 2026, if memory serves. So more on that. But that also will depend on a market share announcement, which hasn't been quite made yet.
David Vernon: Can I get you to put a number on the big step-up in -- with AltaGas?
Remi Lalonde: I don't have it in front of me, but I'd have to double-check and come back.
Tracy Robinson: Why don't we follow it up -- and Stacy can follow it up with you after the fact, if that's okay.
David Vernon: Okay. Thanks very much.
Tracy Robinson: Thanks. Next questions.
Operator: Your next question comes from the line of Tom Wadewitz with UBS.
Thomas Wadewitz: Yes, good afternoon. Wanted to ask a labor question. I know -- I think you had one on kind of like where the labor is located and where -- moving it around a bit. But should we think head count being kind of flat as you absorb some of this volume if you're maybe at the lower end of the volume spectrum and also contemplated -- you mentioned you've got quite a bit of capacity -- at least some capacity available in the existing train network. And then also, I guess, just thinking about comp and benefits worker -- per worker. So kind of how do we think about the two primary pieces of the comp and benefits expense overall?
Tracy Robinson: Derek, why don't you take the first half and, Ghis, you take the second half.
Derek Taylor: Like we said, it was 800 people sold across the network, obviously, it's more tilted to the east than the south. So in those two cases, we're really watching the hiring. We don't need to do that. We don't see line of sight to have to do that because we can recall those current people. As Pat said in the West, we're ready to handle that growth. We can recall some of those folks that are there. But we are looking at some targeted hiring in those places that growth may come. So I feel we're well positioned on the train package, to your point. We can grow to incremental costs of the manifest package and even with the intermodal package as some of that comes back. And I'll turn it to Ghis on the comp question.
Ghislain Houle: Yes. Tom, on the comp side, I mean, I'm happy to report that we did into agreement with our signals and communication people. And again, the pattern in Canada is 3%. So that's what we continue to assume.
Tracy Robinson: Okay. Thanks, Tom. Next question.
Operator: Your next question comes from the line of Konark Gupta with Scotiabank. Please go ahead.
Konark Gupta: Thanks for taking my questions. Just want to come back to the customers, Remi. You mentioned you're trying to kind of bring it back. How difficult is it to bring them back to the network, especially with all the tariff noise and even potentially change of government in Canada? I mean, how are shippers thinking about this year?
Remi Lalonde: Yes. The challenge -- Konark, thanks for the question. The challenge is that if you look back over the course of 2024, there's been a number of disruptions, labor disruptions in particular. And so the issue is making sure that we make Canadian gateways attractive. And so that's an ongoing process. As I say, we're working with the shipping lines, talking to the DCOs as well so that we can establish and sell the reliability of the gateways. The advantage that we have is we sell service, and we're excited to be able to sell that. You look at lights like Rupert. We like to say it's the fastest way from Shanghai to Chicago. And for customers who are looking to grow and need a reliable product, we think that sells very well. So I think it goes hand in hand. It's a process. It's about being with customers and rebuilding that credibility following a pretty bumpy 2024 from a labor perspective.
Konark Gupta: Thank you.
Tracy Robinson: Next question.
Operator: Your next question comes from the line of Brandon Oglenski with Barclays. Please go ahead.
Brandon Oglenski: Hey, good afternoon, everyone and thanks for taking my questions. Maybe I'll direct this at Derek or Pat, or maybe both. I mean you guys had so much start and stop on the labor side last year and some disruption, I think even with some of your partners in Canada. How do you think about the operating plan and maybe even like engineer planning in 2025 relative to maybe what was a more challenging environment in 2024?
Derek Taylor: So thanks for the question. I'll speak to that. I would say that it's the strength of our discipline to our scheduled operating model the way that we -- unfortunately, we got too much practice at it last year, but the ability to lay down the network in an organized manner so that start-up is very fast. We know exactly how to plan the resources against it. And we start up very quickly. As you can see in our performance when we had those disruptions, we rebound very quickly. The network velocity returns, the car miles, the car velocity returns. Creating that's a credit to all the hard work we've done around the plan, I would say, with fewer disruptions expected. The work that we've done a lot around our engineering team is standardizing the composition of work gangs and really becoming disciplined around our work blocks. So we expect those gangs to make -- they are already making better use of the time that they get. They are starting on time, and we expect to bring the unit cost down for the work that they do. So with fewer disruptions expected, we do anticipate seeing our productivity continue to improve, particularly with the engineering department.
Tracy Robinson: Okay. Brandon, thank for that. Next question.
Operator: Your next question comes from the line of Ravi Shanker with Morgan Stanley. Please go ahead.
Ravi Shanker: Great. Thanks. Good evening everyone. So obviously, a lot of noise with tariffs and who knows how things are going to go. But it seems like we are settling in for kind of prolonged disruption in global supply chains and moving to a multipolar world. So how are you thinking about long-term investment plans for Prince Rupert and Halifax and some of the international intermodal infrastructure here in -- are you hearing from customers that are changing their long-term plans? Are they putting stuff on hold? Or how do we think that builds out?
Tracy Robinson: Well, one of the things that we know for sure is we look at the environment around us is that there will be a high premium placed on being nimble. And so as we put our plan together this year, we thought through a number of different -- of those scenarios and others and how we would respond to it. And we're pretty confident in our plan. But Remi, do you have other comments?
Remi Lalonde: What I'd say is that in both the cases that you pointed out, in Halifax and Rupert, there's plenty of room to grow. So investing further in the gateways for the railways is -- we're already investing pretty significantly actually in Rupert. So we're adding bridge capacity to improve the flow. And there's a lot of additional investments that our customers are making in Rupert. So there is room to grow, both Rupert and Halifax. Halifax had a bit of a tough year because of the Red Sea. But from our perspective, those assets fit very well into the network, and they help support service reliability to customers. And that's what's really important.
Operator: Your next question comes from the line of Benoit Poirier with Desjardins Capital Markets. Please go ahead.
Benoit Poirier: Hi, everyone. And thanks for taking the question. Just to come back on FX, obviously, thanks for the assumptions you're targeting $0.70 for 2025. So I understand that it could represent a tailwind of about $0.15 on EPS. But I was curious from a debt standpoint in terms of leverage, given the further FX depreciation, just wondering in terms of leverage, how we should be thinking in Q1, whether given the U.S. debt and also given the attractive Canadian dollar, just curious if you have received more inbound calls from shipping line that are interested to engage in discussion, especially that labor issues are behind. Just wondering if it could attract some traffic north of the board for the FX. Thanks.
Ghislain Houle: Maybe, Benoit, I'll start and then I'll turn it over to you, Remi, on the second piece. So on the FX, you're right. I mean it has an impact on the debt because a lot of our debt is in U.S. dollar-denominated, and therefore, it has an impact on the leverage. But the sensitivity is very small. If I recollect, I think every cent, I think, has an impact of $0.02 on the debt. So it's -- and we're going to take that into consideration as we manage our balance sheet to continue to remain at 2.5 times. Now sometimes we can move up a little bit. As you know, we finished the year, we are at 2.6. But we will manage our balance sheet, and we will take that into consideration. But it has a very small sensitivity to deleverage. Maybe Remi, on the second piece.
Remi Lalonde: Yes. I think what I'd say, Benoit is, I mean, obviously, the geopolitical environment is a little bit all out throughout, and currencies are obviously reflecting the strength of the U.S. dollar. I don't necessarily tie inbounds to FX as far as shipping line interest go. I tie it to service reliability. And the other sort of thing that's changing is that there are reshaping alliances in the OSM world. And so that is opening up some opportunities for us as well.
Benoit Poirier: Thank you very much for the time.
Tracy Robinson: Next question, please.
Operator: Your next question comes from the line of Jon Chapell with Evercore ISI. Please go ahead.
Jonathan Chappell: Thank you. Good afternoon. Derek and Pat, I think we've covered the labor resources ad nauseam at this point. But there's other line items like purchase services, equipment rents, casualty and other, et cetera. You've had this big pull-down in volume. You have this anticipation of the second half recovery, a lot of uncertainty. How do you thread the needle on matching the resources to kind of your exit rate 2024 and then also your ambitions for the second half of 2025 while making sure you still have the right capacity and starting to get some incremental margin from that in the back half of the year?
Patrick Whitehead: I'll take that. It's Pat. So I would say this, that we made the decisions that we had to make as it relates to resources the last few quarters. We had ramped up to take on the volume that we expected. And when that didn't materialize, we had our disruptions and clearly other factors. I would say this, that as we look at the assets from cars, locomotives and people, as Derek pointed out, we have this 120-plus furloughs in transportation. We have almost 100 in mechanical furloughed. We have well over 120 locomotives in storage. And our car fleet is very productive. We are year-over-year as productive from a car miles per car day standpoint with the car fleet. So we have laid up cars as needed, too, so as to not congest the network. So we feel really good about where we are from a resourcing standpoint to continue to pick up the volume that's out there that we see that thus far in the quarter and the year is solid.
Tracy Robinson: Jon, let me just come in over top of that. The guys are doing a great job, but we're managing our expenses very tightly as we come into this year. But we do have a plan as well of how we would flex up as the volume grows if and when that happens. And so they've been working very hard at that. And I think we're in a good position, but very tight as we start the year, loosen up if the volume arrives as the year unfolds.
Jonathan Chappell: Great. Thanks, Tracy.
Tracy Robinson: Next question.
Operator: Your next question comes from the line of Daniel Imbro with Stephens. Please go ahead.
Daniel Imbro: Yes, thanks. Good evening, everybody. Thanks for taking our questions. I know we've talked through the volume outlook a lot, but maybe one more on the revenue side. Just on the mix, the international intermodal, I think you mentioned it will be the fastest-growing volume piece. I think that's going to be a negative for revenue per RTM this year. But when you look to the volume outlook on Slide 12, can you just talk through the other puts and takes on mix and then maybe mix within mix as you see the business developing this year, the visibility you have into market share wins? Just what are the headwinds and tailwinds we should be thinking about as we move through the year?
Remi Lalonde: Specifically on intermodal or across the business?
Daniel Imbro: Across the business.
Remi Lalonde: Yes. Okay. Well, I would say that where we're doing well going to be in the petroleum and chemicals business for the projects that we talked about. So the fuel terminal in Toronto is one of them, the sand supporting the NGLs. So that's good. On grain, coming off a very strong year, that's very competitive. But what we talked about, we see ahead of us here for the year. I think that on a revenue per RTM, I mean it's -- yes, I mean, there are some sectors that are doing sort of better than others. Where I see good tailwind is -- we're doing well on grain, as I said, petroleum and chemicals as well. Where there's probably a bit more headwinds in the sectors where there is lower demand, so like forest products is probably a little bit more the pressure and metals and minerals, I would say.
Tracy Robinson: Thanks, Remi. Dan, let me just add something to that. You mentioned the growth that we're expecting in international intermodal. We built a portfolio, our book of business that fits our network and that we know that we can run efficiently and can drive value to the bottom line. So we like that international business. It's not our highest-margin business, as you've said, but it leverages our network and our asset base in the right way, and it's a really important part of our business and our growth strategy. And in Remi's plan, it is -- it will be the biggest growth factor. And so the revenue per RTM will be driven mostly by that business. And so you'll see a downward push on revenue per RTM in international, but it is the right -- it will drive growth to our bottom line, and it's the right fit for our network. Thanks for that question. Next question.
Operator: Your next question comes from the line of Ariel Rosa with Citi Group. Please go ahead.
Unidentified Analyst: Hi, good afternoon. Thanks for taking our questions. It's [Ben Moore] (ph) on for Ari. Going back to Ken's question on seasonality. Your 1Q OR normal seasonality over the last 10 years has averaged a deterioration or an increase in OR of 400 basis points on average from 4Q to 1Q. Should we expect that -- or maybe at a low range more akin to 200 to 300 bps of the step-up given the tougher 4Q OR of 62.6%?
Tracy Robinson: So thanks for the question. I think given the unusual nature of the year last year, where we had a pretty good first quarter position from a volume perspective for a strong second quarter and then we started to have the labor issues after that, this quarter is going to depend a little bit on how the winter plays out. But you'll -- I would expect you would see a more normalized Q1 and Q2 versus what you -- if you look backwards, and then a significant improvement year-over-year in Q3, Q4. But Ghis, you see the map on a month-to-month basis. Is that the way to think about it?
Ghislain Houle: I think you've got it pretty well. Everything staying equal, I think from a seasonality standpoint, Q1 has always had the OR that's slightly the higher. Q4, typically, it depends on when the winter hits. And then the best OR quarters are typically Q2 and Q3. So obviously, 2024 was not normal with all of the noise that we encountered. But this noise, we feel, is behind us. So 2025 should come back more to normal.
Tracy Robinson: Thank, Ari. Next question.
Operator: Our final question comes from the line of Stephanie Moore with Jefferies. Please go ahead.
Unidentified Analyst: Hi. Thanks so much for squeezing us in. This is [Joe Hafen] (ph) on for Stephanie Moore. A lot has been asked. I guess I maybe wanted to ask on the Falcon Premium service maybe looking past the last year. So could you talk about customer acceptance for that product? Is adoption kind of where you would have expected it is? Or is customer demand so that's slower than what you would have thought? Maybe just some thoughts on Falcon Premium and what you're seeing on that.
Remi Lalonde: Yes. I guess I'd start by saying that the product works really well. Derek and team and our partners are delivering the service offering that we sold. The challenge that we have is that it's a very competitive market, especially northbound out of Mexico. The truck lanes to the major destinations are fairly well established, and that's what we're fighting against. So we continue to work on it with our partners at UP and Ferromex to continue to grow it. And so I expect that we'll keep growing that incrementally over the course of the year. But there's opportunity and upside there. It's just a really -- it's a tough market.
Tracy Robinson: Okay. Thanks, Remi, and thanks, Krista. Thanks to everyone on the call for joining us. I think as Derek said, 2024 was a hell of a year, but we're turning into 2025 now at full speed to execute our growth plans and to drive that growth to the bottom line. So we'll see you all very soon. Thank you.
Operator: The conference call has now ended. Thank you for your participation, and you may now disconnect.